Operator: Good morning, ladies and gentlemen, and thank you for standing by. My name is Abby, and I will be your conference operator today. At this time I like to welcome everyone to the American Electric Power First Quarter 2024 Earnings Conference Call. [Operator Instructions]   
 Thank you. And I would now like to turn the conference over to Darcy Reese, Vice President of Investor Relations. You may begin. 
Darcy Reese: Thank you, Abby. Good morning, everyone, and welcome to the First Quarter 2024 Earnings Call for American Electric Power. We appreciate you taking time today to join us. Our earnings release, presentation slides and related financial information are available on our website at aep.com.  
 Today, we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements. Please refer to our SEC filings for a discussion of these factors. Joining me this morning for opening remarks are Ben Fowke, our President and Interim Chief Executive Officer; Chuck Zebula, our Executive Vice President and Chief Financial Officer; and Peggy Simmons, our Executive Vice President of Utilities. We will take your questions following their remarks.  
 I will now turn the call over to Ben. 
Benjamin Gwynn Fowke: Well, good morning, and welcome to American Electric Power's First Quarter 2024 Earnings Call. Shortly, Peggy will give a regulatory update, followed by Chuck, who will provide more detailed financial review.  
 The summary of our first quarter 2024 business highlights can be found on Slide 6 of today's presentation. Beginning with AEP's financial results, today, we announced first quarter 2024 operating earnings of $1.27 per share, a $0.16 increase over 1 year ago. We are also reaffirming AEP's 2024 full year operating earnings guidance of $5.53 to $5.73. And the long-term earnings growth rate of 6% to 7%.  
 I'm pleased to note, we achieved a 14.2% FFO to debt ratio this quarter, which is within our stated range. Let me assure you that AEP's direction and strategy remain on track as this team is fully engaged, energized and working well together to enhance the customer experience and investor value. I've reviewed AEP's financial targets, and I have total confidence in the plan's achievability.  
 It's hard to believe it's been just 2 months, since I stepped into the role of interim CEO, and it has been a busy and productive 60 days. I've had the opportunity to meet with many different stakeholders, including elected officials, regulators, community leaders, customers, investors and, of course, the team right here at AEP. All of these meetings have been very useful in helping shape the initiatives I will discuss shortly.  
 Before I dive into other business, I want to give you a brief update on the search for a permanent CEO. The process is well underway, and I am certain, based on the talent pool that we're looking at that we will find the right person to lead AEP. As I mentioned, when we first talked at the end of February, the search will probably take between 6 to 12 months. We will take the time necessary to find the best candidate, and we're committed to keeping you informed.  
 So across the AEP system, I see the need to increase capital spend in the future, including incremental investment related to commercial load growth from data centers and resiliency spend. Specific to load growth, the amount of service request is truly staggering and ranges between 10 to 15 gigawatts of incremental load by the end of the decade, in addition to many, many more gigawatts from hundreds of inquiries.  
 The key to capturing this commercial and industrial growth is to work with parties to make sure that commitments are real and secure, the tariffs and contracts are fair to all customers and growth is self-funded. And of course, that the load can be met. A couple of great examples of new commercial commitments can be evidenced by last week's announcements from both Amazon Web Services and Google to build large data centers in I&M's Northern Indiana service territory.  
 At AEP, we have the largest transmission system in the United States with a high-voltage backbone in the Midwest. We expect more transmission investment possibilities driven by this data center growth, specifically in substations and customer connections. As a side note, I'd like to call attention to AEP's commercial load in the first quarter of 2024 which grew at 10.5% over the first quarter of last year.  
 In addition, we will file our system resiliency plan in Texas, no later than the third quarter of this year, related to legislation passed in 2023, including investment related to hardening and modernizing the grid, expanding vegetation management and, of course, wildfire mitigation.  
 Clearly, a strong balance sheet is critical as we look to fund potential increased capital spend. And I believe incremental growth equity needed to fund smart capital is a positive thing.  
 That said, we are open to equity alternatives through portfolio optimization, looking at opportunities where price meets execution, while at the same time, staying focused on our efforts to achieve constructive regulatory outcomes. On a similar note, I'd now like to provide a brief update on the sales of our AEP Energy Retail and AEP OnSite Distributed Resources businesses, both of which are included in the Generation & Marketing segment.  
 We are working through final phases of the process and expect to conclude that process by our second quarter earnings call. Now let's move on to last week's newly published federal EPA rules on greenhouse gas standards, coal combustion residuals or CCR, Effluent Limitation Guidelines or ELG.  
 Although our team is still reviewing the rules, we will likely pursue legal challenges, while working with others, including our states who are aligned with AEP's commitment to provide customers with reliable and affordable energy. These new regulations in some cases, require the use of unproven technologies, are extremely expensive and establish unreasonable compliance schedules.  
 We are at a time when our nation needs to add dispatchable generation to support grid reliability and growth, and these rules have the potential to not only prematurely accelerate plant closures, but also discourage new dispatchable generation from being built.  
 Now turning to labor management. We announced a voluntary severance program earlier this month, taking effect July 1. We expect this initiative will save labor cost of approximately $100 million and will assist us in managing our cost to better serve our customers, allow us to redeploy resources locally in our regulated footprint and finally, mitigate impacts from inflationary pressures and interest rates.  
 Of course, we will do it so in a way that is fair and equitable to all of our valued employees. So as I mentioned, it's been a busy and productive couple of months. Have confidence in our strategy and team. I'm excited about the opportunities ahead to drive growth and create value for our investors. We look forward to providing you even more positive updates as we move forward in the year, further solidifying stakeholder confidence in our financial targets.  
 Before we turn to Peggy for additional updates, know that I am aware of AEP's regulatory successes and some of our challenges. We continue to review plans to strengthen our regulatory compacts as we work through the past and are ready for the future. Peggy? 
Peggy Simmons: Thanks, Ben, and good morning, everyone. Now let's go to an update on several of AEP's ongoing regulatory initiatives. We are currently focused on investing more in people resources at the local level, particularly in regulatory and legislative areas.  
 The utility industry is changing and more now than ever, it's critical that we enhance our engagement in this dynamic environment. More details of our related regulatory activity can be found in the appendix beginning on Slide 23. AEP's operating company leaders are running the business and engaged with our state regulators. Higher costs for materials and frequency of cases shines a spotlight on affordability and customer builds are top of mind for us.  
 We are focused on advancing interest in each of the states we operate to achieve outcomes that are good for our customers, our communities and our investors. This includes economic development work across our service territory, which brings jobs and creates headroom from larger load perspectives.  
 We continue to reduce our authorized versus actual ROE gap. We're doing the work and our ROE improved slightly this quarter to 8.9%. Even considering this measure is depressed by approximately 30 basis points from mild weather conditions. Staying with the recent positive developments, I'm pleased to report AEP Ohio's Electric Security Plan V settlement obtained last summer -- excuse me, last September was approved by the commission earlier this month.  
 This ESP covers a 4-year term of June 2024 through May 2028. As we shared previously, we filed new base cases in Indiana and Michigan in the latter half of 2023. In Indiana, we reached settlement, which was filed in December, and we expect the commission decision by June of this year.  
 In Michigan, we completed the procedural schedule and expect a relief in that case in July. The team has been busy in 2024 so far, filing an Oklahoma base case for PSO in January and an AEP Texas case in February. Last month, we filed the APCo Virginia biennial rate review, required by statute from legislative changes attained in 2023.  
 Earlier this month, in SWEPCO, Arkansas and Louisiana jurisdictions we filed the annual formula rate plan. Now on to the regulated resource additions. We continue to advance our 5-year, $9.4 billion regulated renewable capital plan and have a total of $6.6 billion approved by state commissions at APCo, I&M, PSO and SWEPCO. As you can see, we're making great progress. We are also considering the renewables market local input, as well as evolving reserve margins and resource adequacy as we meet the needs of our customers.  
 We are advancing toward our fleet transformation targets, which are aligned with and supported by our integrated resource plan. We have pending requests for proposals for a diverse set of additional generation resources at I&M, Kentucky Power, PSO and SWEPCO with more to come from other operating companies, including APCo.  
 These generation investments are an integral part of our broader capital program, which is 100% focused on regulated assets. Looking ahead, we know there is more work to be done as we advance our regulatory strategies in 2024 to achieve a forecasted regulated ROE of 9.1%. We look forward to continuing to engage constructively with our regulators and strengthening relationships.  
 With that, I'll pass it over to Chuck to walk through the performance drivers and details supporting our financials. 
Charles Zebula: Thanks, Peggy, and good morning, everyone. Today, I'll review our financial results for the first quarter, build on Ben's comments about our service territory load and finish with commentary on our financial metrics and portfolio management activities.  
 Let's go to Slide 7, which shows the comparison of GAAP to operating earnings for the quarter. GAAP earnings for the first quarter, were $1.91 per share compared to $0.77 per share last year. There is a detailed reconciliation of GAAP to operating earnings on Page 13 of the presentation today.  
 One significant item I want to highlight in our GAAP to operating earnings walk is the onetime positive adjustment of $260 million, primarily for the remeasurement of a regulatory liability for excess deferred taxes, due to guidance recently received from the IRS, related to the stand-alone treatment of taxes for ratemaking purposes.  
 Let's walk through our quarterly operating earnings performance by segment on Slide 8. Operating earnings for the first quarter totaled $1.27 per share or $670 million, compared to $1.11 per share or $572 million in 2023. This results in a quarter-over-quarter increase of $98 million or $0.16 per share.  
 Operating earnings for Vertically Integrated Utilities were $0.57 per share, up $0.05. Positive drivers included rate changes across multiple jurisdictions with the PSO base case and the Virginia proceeding being the most significant favorable year-over-year changes in weather and income taxes. These items were partially offset by higher interest, higher depreciation and other taxes.  
 The Transmission & Distribution Utilities segment earned $0.29 per share, up $0.05 compared to last year. Positive drivers in this segment included rate changes, primarily from the Distribution cost recovery factor in Texas, and the distribution investment rider in Ohio, increased transmission revenue, higher normalized retail load and favorable year-over-year changes in weather. These items were partially offset by higher depreciation, other taxes and interest.  
 Please note that although weather was a positive variance quarter-over-quarter, in both the Vertically Integrated and T&D segments, weather for the first quarter 2024 was very mild. Compared to normal weather, our estimate of the variance is roughly $80 million unfavorable, which is about $0.12 per share.  
 The AEP Transmission Holdco segment contributed $0.40 per share, up $0.05 compared to last year, primarily driven by investment growth and favorable income taxes. Generation & Marketing produced $0.12 per share, up $0.03 from last year. Positive drivers included higher generation and retail margins, along with favorable interest expense. These items were partially offset by lower wholesale margins, higher income taxes and lower distributed and renewable generation results compared to the prior year, largely due to the sale of the universal scale assets in the third quarter of 2023.  
 Finally, Corporate and Other was down $0.02 compared to the prior year, primarily driven by higher interest costs. Moving to Slide 9. Overall retail load continues to accelerate ahead of expectations. This is due to our ongoing success in economic development, as well as the rapidly increasing demand from the many data centers finding a home within our footprint.  
 Weather normalized retail load grew 2.9% in the first quarter, highlighted by a remarkable 10.5% increase in our commercial load, which is where the data center load is classified. This is a trend we expect to continue over the next several years as the growth of AI and other technologies boost the need for additional data storage and processing. Driving the demand our existing and new projects that have ramped up more quickly than first anticipated, especially with some of our largest customers in Ohio and Texas.  
 As we refine our forecast for the remainder of this year and next, expect that those projections to move higher to reflect the rapidly evolving situation, as Ben had outlined in his comments. Outside of data centers, our economic development efforts are also helping us maintain growth in industrial load despite softness in manufacturing activity nationally. Industrial load grew 0.4% in the first quarter, roughly in line with expectations for the full year. This was driven primarily by increased activity amongst our plastics, tire and paper manufacturing customers.  
 We are keeping a close eye on our industrial customers, given the higher interest rates for longer environment. However, the number of large new loads anticipated to come online in the next 2 years, provides us with confidence that demand will remain steady in the face of any economic challenges for our existing customers.  
 The main takeaway on load, however, is the significant growth in large customers that we continue to bring online across our footprint. As I mentioned earlier, beyond the lookout for higher load projections, as we provide additional guidance later this year.  
 Let's move on to Slide 10 to discuss the company's capitalization and liquidity position. In the top left table, you can see the FFO to debt metric, stands at 14.2% for the 12 months ended March 31, which is a 100 basis point increase from year-end and in alignment with what I discussed on the last 2 earnings calls.  
 Our debt to cap decreased slightly from year-end and was at 62.8% at quarter end. In the lower left part of this slide, you can see our liquidity summary. Which remains strong at $3.4 billion and is supported by $6 billion in credit facilities that were recently renewed and upsized by $1 billion to support our liquidity.  
 Lastly, on the qualified pension front, our funding status has remained relatively flat, since the end of the year and ended the first quarter at 100.6%. Let's go to Slide 11 for a wrap up of today's message. The first quarter has provided a solid foundation for the rest of the year with a $0.16 increase in earnings per share, compared to the first quarter of last year despite the mild weather conditions that we experienced this winter.  
 We remain focused on achieving our objective, which include improving the financial performance of our utilities, offsetting cost increases due to inflation to keep electricity affordable and embracing the opportunity to bring economic development to our communities by serving large loads.  
 As an update, we successfully closed on the sale of our New Mexico solar assets for $107 million in cash proceeds in February, and we continue to work through the final phases of the AEP Energy and AEP OnSite Partners process. We expect to announce the results of the process by our second quarter earnings call.  
 Our first quarter results give us the confidence to reaffirm our operating earnings guidance range of $5.53 to $5.73 per share. We remain committed to our long-term growth rate of 6% to 7% and FFO to debt solidly in the 14% to 15% range. We appreciate your investment and interest in American Electric Power. 
 Operator, can you open the call so we can address your questions? 
Operator: [Operator Instructions]  And your first question comes from Jeremy Tonet with JPMorgan. 
Jeremy Tonet: Just wanted to peel in maybe a little bit more on the data center points that you laid out there. And just wondering, we see a lot of forecasts out there on the time line of how quick some want to come to market, and we're trying to figure out how that matches against the system's ability to provide the power there in the connects. And just wondering how you see those 2 aligning? What does that mean for AEP over time versus plan?  
 And just how do you think about, I guess, structuring rates in the right way so that other rate payers don't bear more of a burden? 
Benjamin Gwynn Fowke: Yes, those are all really good questions, Jeremy. And our team has done a tremendous amount of work thinking this through. I mean, first of all, I like to say, here at AEP that really wired for growth. And as you know, we've been making significant transmission investments over the years, and that's going to allow us, I think, to accommodate this first wave of growth we're seeing from data centers.  
 And -- so in our next 5 years, you will see that load coming on, and you'll see some of the capital spend -- the incremental capital spend to support it. As we get out further in the decade, I think, it's going to be a function of an additional transmission and perhaps even generation that will need to get built to meet it all.  
 But this team is working really hard. We have a great economic development team, very supportive business community in States and we've done a lot of groundwork to put ourselves in this position. And you're also seeing, Jeremy, data center load ramp up at the same time. So that's a natural trend, too.  
 Now to your latter question, this is one I've been keenly focused on. And the good news is we believe that the load growth that will be coming on, will be fair to all customers and in fact, will help us keep our rates affordable across all of our jurisdictions. We are developing new tariffs. Tariffs that require longer-term commitments. Tariffs that require the data centers to deliver on the load expectations that we're building for obviously, credit quality, et cetera.  
 And when you do the math, that load growth then benefits all customers. And that's what I'm really excited about because that was really important to myself and the team that we do keep rates affordable and this growth will do just that. 
Jeremy Tonet: Got it. That's helpful. And maybe just to dive in a little bit more as we think about data center load sensitivity. Should we be thinking that more along the lines of commercial sensitivity or industrial sensitivity, as provided in your guidance if you think about demand outstripping the forecast? 
Benjamin Gwynn Fowke: Go ahead, Chuck. 
Charles Zebula: Yes. So I would think of it, Jeremy, more like an industrial customer and that sensitivity there. 
Jeremy Tonet: Got it. That's helpful. And then just the last one, if I could. As it relates to the external CEO search. Just wondering, has anything changed with regards to, I guess, the characteristics that are in focus for a candidate? How is the pool building at this point? Just wondering if there's any other color that you might be able to share on how the process is going? 
Benjamin Gwynn Fowke: Well, I can just tell you that the attributes and the qualities we're looking for remain unchanged from what I described on the fourth quarter call. We are well underway now. We've got some really good candidates, impressive candidates. It takes time to sort it all out. And there's other obviously, things that we need to look at.  
 But the timetable that I outlined for you just a couple of months ago was 6 to 12. So truncate 2 months off of that, and it's 4 to 10. And -- but that said, we'll take as much time as we need to get the right person in place, and I'm very confident that we'll do just that. 
Jeremy Tonet: Got it. And actually, if I could just sneak 1 last  in. Just wondering on overall corporate strategy, could you talk more about where things stand for AEP decentralization efforts. And looking to kind of more closely align P&L to the end decision maker at the local levels. Just wondering how that's progressing? 
Benjamin Gwynn Fowke: Well, I think it's -- this is a focus of ours. And one of the -- and I'm going to turn it over to Peggy, she's developing -- has developed a detailed plan. But one of the things we want to do is put those local resources in our communities. And I know that's the right thing to do, just talking to stakeholders.  
 It costs money to do that which is one of the reasons why we did the voluntary severance, so we can free up some of those resources going forward to make those critical investments in our communities. Peggy, I don't know if you want to add anything. 
Peggy Simmons: Yes, Ben, I think you pretty much covered. We have worked with the team and looking at how we can get some more of those -- enhance the resources from a regulatory and legislative perspective, having more boots on the ground.  
 As I mentioned in the opening statement, there's a lot of change in our industry and having folks out there having these ongoing conversations is really important. So we're working through that process and more to come on that topic. 
Operator: And we will take our next question from Steve Fleishman with Wolfe Research. 
Steven Fleishman: So just in Ohio and Texas, your wires company, but in Indiana, where these last 2 announcements, I think you've got generation too. And are you -- so in some of these recent deals that announced -- the past week, are you supplying the generation as well? And is there going to be a generation need in Indiana related to those? 
Benjamin Gwynn Fowke: Well, we do have RFPs outstanding. Peggy, do you want to take that? 
Peggy Simmons: Yes. We do have RFPs outstanding in I&M. But to answer your question, yes, and are vertically integrated like Indiana, we will have to serve the generation component, and we are working with those large loads that are coming to us on what that would look like. And we are also focused on, as Ben mentioned earlier, redefining and looking at our tariffs as well. So that will be part of our strategy. 
Steven Fleishman: Okay. And just to kind of clarify back to the initial question. So the transmission grid is built up and has capacity to take on these customers near term. But is there still, even near term, is there more capital needed? Or is it more of this after this 5 years? 
Charles Zebula: No, Steve, there'll be more capital needed, but I don't think it will be those massive 765 lines, it can take a long time to get built. We believe the team has done a lot of work on how we could accommodate that load within our footprint, working with PJM and others. And so yes, there'll be more spend, but it will be manageable and doable to the point. 
Steven Fleishman: Okay. And then on the FFO to debt, you're in the target range now. Is there anything about that that's kind of -- are you in there for good, do you think now? Is there any -- was there any timing reason? Or is it you're in that and expect to be in it throughout the year? 
Charles Zebula: We were in the range. We expect to be in that range now. Our forecast that we review internally and with the agencies show us being in that range. So that's the plan, and we plan to defend that. 
Operator: We will take our next question from Shar Pourezza with Guggenheim Partners. 
Jamieson Ward: It's actually Jamieson Ward on for Shar. He's on the road and regrets that he's not able to join you today, but we have a couple of questions for you here. The first was just on the annual customer bill increase, the pace there, you reduced it to 3% increases per year through 2028, which is great to see. Does that already take into account the anticipated infrastructure investment needed to support any future data center growth? Or could we see that number be revised as well? 
Charles Zebula: Well, I mean -- the answer is the incremental stuff we're talking about and the incremental transmission investment, it's not included in that, but it's not going to be -- it's not going to drive that from 3 to 4. If anything, it should keep it level and perhaps even drop it a bit.  
 Obviously, there's other things that go into that other inflationary factors, supply chain pressures, et cetera. But as I mentioned, this -- we've done a lot of work, making sure that the incremental investment that we would need to make over the forecast 5-year time frame is actually at a level that is accretive, if you will, to keeping customer rates affordable. And that's why I'm very confident of moving forward with it. 
Jamieson Ward: Got it. Terrific. And then expanding on Jeremy's earlier question, how are you approaching some of the more unique issues presented by data centers, for example, those who want to be behind the meter but still want to have an emergency tariff with the utility or data centers, which, as you mentioned, want to socialize the cost of interconnection through all rate classes but which may not have a major economic impact. If we can just get a bit more detail there. 
Benjamin Gwynn Fowke: I'm going to turn it over to Peggy in a second. But listen, it's got to be fair to all customers now, okay? I mean this is a big deal. It's an exciting big deal. But growth needs to be as close to self-funded as possible. And that's what I think we'll get with these tariffs and some of the other analysis that we're looking at. 
Peggy Simmons: Yes. So what I would add to Ben's comment there is that on our tariffs, we are looking at what minimum demands are. Most of the large loads are wanting to be connected to the system. But if they want some form of self-generation, we are asking so that we understand that, and we can include that, as part of our planning.  
 So we're trying to get all of that information on the front end. So that we can appropriately serve customers and make sure that it's fair and balanced for all customers and everyone is paying their fair share, as Ben has mentioned. 
Benjamin Gwynn Fowke: Yes. I mean the worst case scenario, and this is what -- to Peggy's point, what we're preventing is the load doesn't show up consistent with how we built the infrastructure. And when it does show up, it doesn't use, especially on a peak basis, the energy that we built for.  
 So -- and -- but if you control that, which, by the way, I think, we also have to be very careful, too, that these large, large loads are -- don't jeopardize good reliability. And so these tariffs address that, too. If you do all those things, then growth is good for all. And that's what we're pushing for. 
Jamieson Ward: That's very clear.  And then on the updated load growth forecast coming later this year, should we assume that at a high level, that means the EEI or are there particular IRPs or other proceedings that we should maybe watch out for? Which could come say, before EEI that would be driving that? 
Benjamin Gwynn Fowke: I mean I think the big update will come -- well, I understand EEI in the third quarter's earnings call right on the same, but it would either come on the third quarter or EEI unless there might be drips and drabs that get released before that, but that's what we're planning to do right now. 
Jamieson Ward: Understood. Got you. Last question from us is just on asset sales. In the deck, you mentioned remaining committed to simplifying the business in the immediate term with a focus on continued execution of the sale processes. So how should we think about the potential for any additional sales announcements, following the conclusion in the second quarter of the current process for the Retail and Distributed Resources businesses? 
Benjamin Gwynn Fowke: It would be on an opportunistic basis. We're going to look at -- we're always open to ideas. Chuck and I and the team have been around a while. We know that sometimes good ideas sound good on paper, but you can't execute on them. So we do filter that through the regulatory screening process, as you can imagine.  
 And then we like our assets. So obviously, the price has to be right. But -- what you're not going to see from us is like strategic review, too, and preannounced kind of things that we're looking at. If the opportunity arises and we can execute on it, then you'll hear about it.  
 But -- in the meantime, our status quo plan, I think, is a pretty darn good plan. And to the extent that we issue equity to fund additional incremental CapEx, this is going to be smart CapEx, good growth for all and we'll keep our balance sheet strong, which I think is so important as you enter, I think, an extended era of higher CapEx growth. 
Operator: And we will take our next question from Carly Davenport with Goldman Sachs. 
Carly Davenport: Maybe just going back to the balance sheet. As you think about your financing needs for the remainder of the year, can you just give us an update there? And if you expect to see any impacts relative to your initial plan with the move that we've seen in rates year-to-date? 
Benjamin Gwynn Fowke: Yes. Carly, the plan that we laid out at EEI is still intact. Other than I think at EEI, we had the West Virginia securitization in the plan, and that has been replaced by a Kentucky securitization, nearly of equal amounts. 
 So the plan is still intact. There's been no significant changes, and we're proceeding on that plan. 
Carly Davenport: Great. And then just going back to the commercial load and data centers. As you think about that and the expectation to raise later this year. Could you just talk a little bit about sort of what surprised the plan to the upside so materially thus far? Is it just sort of more success on the economic development front or more consumption from existing customers? Just any color on that would be helpful. 
Charles Zebula: Yes. Carly, it's just mainly the ramp rates of the customers that have hooked up, have come on more rapidly than we anticipated. And so that's why you're seeing those big bumps in commercial load, as we go through the quarters here. 
Operator: And we will take our next question from Nicholas Campanella with Barclays. 
Nicholas Campanella: I'll try to keep it to 2. So I guess you talked about this need for growth equity. Can you just elaborate when you anticipate needing that? And what part of this 5-year plan would that be? And then I guess, just -- you do have $700 million to $800 million, I think, a year in your financing walk here of equity needs. Just why not do something sooner than later to kind of knock that out if the opportunity presents itself? I know you don't want to preannounce and go into a strategic review around 2, like you said, but maybe you can kind of give us some additional thoughts on how you're thinking about that. 
Benjamin Gwynn Fowke: I'll turn it over to my esteemed colleague here, Chuck. 
Charles Zebula: No, Nick, it's a good question. I mean, look, as we said earlier, right? We're formulating, right, the changes to our plan and how ultimately, right, how financing is going to affect that. 
 You are right. We have $400 million in equity this year, followed by $800 million in equal amounts in the following 2 years. So I think the point that I tried to make earlier on FFO to debt, look, we're going to defend our BBB credit.
 Right? We're going to maintain a strong balance sheet. So as we put out additional capital forecast, I think, you could assume, right, that strong balance sheet is going to remain intact. So just kind of wait for that update on CapEx, and you should be able to figure that out pretty clearly. 
Nicholas Campanella: Okay. I appreciate that. And then Chuck, I know that weather at VIU is kind of a $0.10 drag versus normal, but you also have some of these tax items in there as well. Just on the tax item benefits, is that normalizing from last year? Or is that one time in nature, as we kind of think about year-over-year into '25? 
Charles Zebula: Yes. So Jeremy, about half of that will normalize throughout the year and the other half is onetime. Things that happened in '23 that won't happen again in '24. So it's a true increase. 
Operator: We will take our next question from Durgesh Chopra with Evercore ISI. 
Durgesh Chopra: I wanted to go back on your commentary, Ben, on portfolio optimization, new financing plan. Just to be clear, the financing plan, the CapEx update, the load board updates. Is that sort of -- should we think of that as a separate process and the CEO search? I'm just thinking about the 2 and are those 2 independent processes that we should think about? Or are they somehow tied? I'm thinking about the cadence of your updates, your new plan and then the parallel CEO search? 
Benjamin Gwynn Fowke: I mean, if I understand your question right, are we holding things back until the new CEO gets in place? Is that what you mean? 
Durgesh Chopra: That's right, Ben. Yes. 
Benjamin Gwynn Fowke: No, no. I mean, no. I mean, we typically -- as you know, we typically update all our CapEx and financing plans and all those sorts of things at the time of EEI. And if there's something major in between, obviously, we give you updates. But we're not -- no, I mean I -- this company is not in neutral. I mean we really -- we're moving forward. 
 This team is -- they share my belief that this growth is here. We need to accommodate it. We need to talk about it, and we need to make sure it's fair to all. So we're really, really focused on that. Focused on, I think, the strategy of putting more control at the local level, more resources at the local level. 
 So -- and we just announced a voluntary severance. So we're not kind of just putting it in neutral and coast until a permanent CEO gets in there. I honestly think these are all no regret type decisions that the new CEO will ultimately benefit from. But did I answer your question? 
Durgesh Chopra: You did. That's exactly what I wanted to ask you, a very clear response. And then second question then, again, like you mentioned challenging the EPA proposed ruling. Maybe can you share a little bit more color there? Is it the carbon capture technology that you are referring to? And then you mentioned the accelerated plant retirements? Was that directed towards coal? Just any color you can share there. 
Benjamin Gwynn Fowke: Yes. Well, it's a great question. And again, I just -- I harken back to Steve Fleishman's report that came out a couple of months ago, where he talked about our industry, which if you aggregate market cap of somewhere around $0.5 trillion, being responsible for this -- we want our onshore data centers, artificial intelligence, reshoring of manufacturing. And it's our industry that has to do it. And we're going to build all the transmission we possibly can. That's not easy to get built either, but we are going to have to plug in to something. 
 And as you know, in my former role, I'm a big advocate for renewable energy. I think it's great, particularly when it's economic. Now some of that changes over time and regionally. But to think that we don't need dispatchable generation, I mean, it's -- we need it. And I'd love to see things like SMRs and other things develop, but they're not going to happen overnight. And in the meanwhile, we can't -- we have to be willing to move forward realistically. 
 And yes, it's not just the carbon capture rules. I mean there's -- we're looking at all the other rules, the CCR rules, the ELG rules, which by the way, we just spent a lot of money coming into compliance on that, and that was only a couple of years ago. And now it's a completely different role, which would require different technologies. 
 So it's -- our industry has come so far in carbon reduction. And I think we're willing to do so much more, but it has to be with affordability, reliability and resiliency in mind. And I'm just -- I'm really passionate about that. And you never like to have to sue, but we're going to do what we have to do to defend our grid and our customers that use that grid every single day. 
Operator: And we will take our next question from Andrew Weisel with Scotiabank. 
Andrew Weisel: Two quick ones here, please. First, to elaborate on the commentary on load growth. Ben, I think, you mentioned that the incremental 10 to 15 gigawatts by the end of the decade. I assume that's across the entire portfolio. Can you talk a bit about the Vertically Integrated Utilities? You have about 20 gigawatts identified through the current IRPs. My question is, how soon might we see more filings to include the new expected load, which there is no doubt coming quickly. 
Benjamin Gwynn Fowke: Yes. So when I look at those incremental loads, I mean, Ohio, within the PJM footprint, Ohio is the biggest driver of it, although Indiana is definitely getting its share. And I suspect we will have to do incremental RFPs to capture that load. I can't give you the exact timing of when that would be. 
Peggy Simmons: We have -- so Indiana, we have an IRP that's coming up that's going to be later in November. But -- so that will be part of the process as we start to look at how we accommodate some of this load as we start to see it to come on as well. We'll be using those same types of process. 
Benjamin Gwynn Fowke: And just maybe outside of data centers, if you look down at SPP, that's a very constrained region as it is right now. They haven't seen a tremendous amount of data center growth today. It doesn't mean they won't. But in the meantime, we've got to make sure we've got adequate load to serve the load that we do know we have. 
 In Ohio, again, we don't have generation in Ohio, so the incremental investment will be Transmission. There's lot of talk here in Ohio in the business community, at the state level do Regulated Utilities need to be back in the generation game? I don't know. I think -- honestly, I think that would take legislation, at least from my perspective. So that we'd be assured of good recovery and potentially any kind of stranded cost risk because we've seen that play out before. Doesn't mean we're not -- we wouldn't be open to it, but it would probably require legislation. 
 ERCOT. ERCOT, we don't own generation, but we would obviously, need to be building a lot of transmission and ultimately needing something to plug into. 
Andrew Weisel: Okay. Great. That's very helpful. And one quick one on the voluntary separation program. Would there be any kind of meaningful onetime cash outflow associated with that? And if so, how would you finance it? 
Benjamin Gwynn Fowke: Yes. I think the -- so it would go into effect midyear, July 1, and so the annual savings that we would see this year would just about offset the severance cost. And then, of course, then on an annualized basis, '25 and beyond would benefit from that. And again, this is about -- yes, okay, I'll just stop there. 
Operator: And we will take our next question from Ryan Levine with Citi. 
Ryan Levine: On rate design for data center load what duration commitments and load ramp, are you assuming or looking for to help protect residential customers? Any differences on rate design between jurisdictions to call out? Any color is appreciated. 
Peggy Simmons: Yes. So I'll take that. Thank you for the question. I mean, generally, we need -- we'd have to be building long-term assets. So we need some commitments that are longer in nature. So I mean, we would think somewhere around the 10-plus, 15-plus year range, but we're working through that process now. 
Ryan Levine: And then in the prepared remarks, you're seeing higher load and potential new investments. In terms of funding that potential new investments in the back half or outside of plan. Any -- how are you thinking about what tools are most advantageous to execute on that potential opportunity? 
Charles Zebula: Well, as Ben mentioned, we would consider everything. Everything is on the table. But I think the underlying tenet is that we will defend our BBB credit. 
Operator: And we will take our final question from Paul Patterson with Glenrock Associates. 
Paul Patterson: I wanted to circle back on the onetime gain associated with the PLR ruling that you got -- or the letters that you got. What's the ongoing impact of that? And could you just elaborate a little bit more on -- I did read the 10-Q and that section of it, but I just wanted to make sure I fully understood it. 
Charles Zebula: Yes. So thanks for the question, Paul. So that stand-alone ratemaking for tax purposes has really been on our radar for some time now. Really kind of results from some of our affiliates today generate taxable income and others generate tax losses, which has really kind of created the issue for us. 
 And really, kind of compounding that is our significant capital program over the last 5 years, as well as bonus depreciation has extended that dynamic. So we were concerned that if we did not address that, we may have a normalization issue. So we asked the IRS for a private letter ruling. Interestingly, some of our jurisdictions support the stand-alone approach, either in legislation or in their own rate making. And other utilities also endorsed and use the stand-alone approach as well. 
 So we received the PLRs in the first quarter. And the PLR really kind of boil down to 4 key facts. One is the stand-alone NOL must be included in rate base. The second, which addressed the gain in our adjustment from GAAP to operating is that the NOL must be included in the calculation of excess ADIT. 
 So that reduced the overall regulatory liability for excess ADIT, which, of course, was created due to tax reform. And then any adjustment to offset the NOL would constitute a normalization violation. So we took corrective action. We're glad that we did to avoid a normalization violation. And our plan now is to work with regulators to make the appropriate adjustments to rates so that we can include that going forward. 
Paul Patterson: Okay. So that should be a positive going forward, assuming the regulators agree? 
Charles Zebula: Once we're able to go through our jurisdictions and get it into rates. Yes. 
Paul Patterson: And when I read the 10-Q, it said West Virginia was -- they've agreed to the stand-alone approach, correct? In the past, they've been a little bit -- is that right? 
Benjamin Gwynn Fowke: Yes, that's correct. 
Paul Patterson: Okay. And then just with respect to transmission, FERC has some stuff coming out in a few weeks. And I was wondering if you had any idea about -- if you know what I'm talking about, it's the planning and what have you, sort of long-awaited reforms. 
 Do you guys have any sense as to what you might -- we might see there? And then sort of a related question on grid-enhancement technologies. Do you -- how do you see those playing with your large transmission system? Just any thoughts you have with respect to that? 
Benjamin Gwynn Fowke: Yes. As far as the planning, I am told from our experts -- in-house experts that we don't anticipate having much of an impact on us. The grid-enhancing technologies, I'm not quite sure about that one. 
Peggy Simmons: So we do use grid-enhancing technologies. And as it relates to the planning information at FERC. I mean, our team has been very involved in it. I mean, I think they're looking at longer planning horizons and things of that nature. So our team has been at the table the whole time working with FERC on those. 
Darcy Reese: Thank you for joining us on today's call. As always, the IR team will be available to answer any additional questions you may have. Abby, would you please give the replay information? 
Operator: Thank you. This call will be available for replay today approximately 2 hours after the conclusion of the call and will run through Tuesday, May 7, 2024 at 11:59 p.m. Eastern Time. The number to access the replay is 1 -800-770-2030 or 1 -609-800-9909. The conference ID to access the replay is 79-39-795#. Thank you, ladies and gentlemen. This concludes today's call. We appreciate your participation, and you may now disconnect.